Zubin Appoo: Good morning, everyone. Thank you for joining us for our full year 2025 results briefing and discussion on our future outlook. Before we begin, I'd like to say how honored and excited I am to return to and lead WiseTech at this pivotal time in our journey. After spending nearly 15 years helping build the foundation of our technology and innovation earlier in my career, I've continued to watch the company's extraordinary growth as a shareholder and now step back in with renewed commitment. With our expanded vision to be the operating system for global trade and logistics, we are broadening our reach from logistics into global trade and across the entire supply chain. As CEO, my focus is clear: to drive strategic growth, foster a high-performance culture and accelerate innovation that delivers productivity, efficiency and long-term value to our customers and shareholders. We're building a product-centric execution strong organization with a singular purpose to solve the most complex problems in global trade and logistics by delivering world-class products and to lead the industry with speed, excellence and scale. The opportunity ahead is enormous, and I'm excited for what we'll achieve together. Now on to our highlights. In FY '25, our EBITDA margin rate, excluding E2open M&A costs, was above the top end of the FY '25 guidance range at 53%, up 5 percentage points versus FY '24, with a 52% FY '25 EBITDA margin exit run rate. This highlights the underlying operating strength of the business and continued momentum we're seeing with our new and existing large global freight forwarder customers as they continue to consolidate and expand their use of the CargoWise application suite. Our breakthrough products continue to progress towards revenue generation. I'm pleased to share that CargoWise Next rollout is essentially complete. The potential value of Container Transport Optimization has increased, and we have announced a strategic partnership with ACFS Port Logistics, a leading Australian container transport provider to assist with commercialization and accelerate volume rollout. Importantly, our strategic acquisition of E2open is a significant transformative step for WiseTech and brings further deep domain expertise, expands our product offerings and grows our total addressable market in the $11 trillion global trade and logistics industries. Integration activities have commenced and are on track. We're pleased to see strong alignment across teams as we engage in deep dive knowledge sharing. As next steps, we will rapidly act on operational and product synergies that will bring customer and shareholder value. And our new CargoWise commercial model is ready to rollout and is expected to drive long-term product adoption, deeper market penetration and additional value creation through deep AI workflow and management engine opportunity, further embedding CargoWise's extensive capabilities across the global supply chain. I want to thank the WiseTech team, now numbering over 7,000 people around the world. The game-changing innovations we have delivered over the past 30-plus years and the future value we will deliver to our customers, the industry and our shareholders are all driven by this talented team of people. It's exciting to lead this growth and be part of this journey with you. Turning to our financial performance on the next slide. In FY '25, overall, revenue was broadly in line with expectations. We delivered total revenue of $778.7 million, an increase of 14% on FY '24. Organically, total revenue grew by 13%. CargoWise revenue grew organically by 17% to $682.2 million, 18% reported, with recurring revenue at 99%. EBITDA was up 26%, excluding E2open M&A costs to $409.5 million, with the corresponding EBITDA margin rate up 5 percentage points to 53% and our reported EBITDA margin rate increased to 49%. Underlying NPAT of $241.8 million, was up 30% and free cash flow of $287 million, was up 31% on FY '24. The Board determined a final dividend of $0.077 per share, up 24% on FY '24, representing a payout ratio of 20% of underlying NPAT. To summarize, FY '25 was a year where we focused on laying the groundwork for the next phase of our growth. These results reflect a solid financial foundation and demonstrate the resilience and scalability of our business model, ongoing discipline, operational strength and commitment to sustainable value creation, positioning us strongly for the opportunities ahead. Caroline will now take you through our FY '25 financial performance in detail.
Caroline Pham: Thank you, Zubin, and good morning, everyone. It's great to be speaking with you today. I'll start with an overview of our financial performance. Overall, revenue was broadly in line with our expectations. As Zubin mentioned, we grew total revenue by 14% with CargoWise revenue up 18%. This included organic CargoWise revenue growth of 17% and $19.2 million from M&A in FY '24 and FY '25, partially offset by a $2.4 million FX headwind. Gross profit was up 17% with a gross profit margin of 87%, up 2 percentage points. Excluding $27.9 million of M&A costs related to E2open, EBITDA was up 26% to $409.5 million, with the corresponding EBITDA margin of 53%, up 5 percentage points on the previous year. This was ahead of expectations driven by our cost efficiency program and continued operating leverage. Our FY '25 EBITDA margin exit run rate was 52%, 1 percentage point lower due to a onetime benefit in FY '25 from favorable commercial contract resolutions not expected to recur in FY '26. Our reported EBITDA was up 17% and EBITDA margin was up 1 percentage point to 49%. EBIT also grew by 17%, reflecting an increase in depreciation and amortization as we continued with our strong R&D investment program for CargoWise to drive future revenue growth. Our net financing costs reduced to $3.5 million during the year from continued strong free cash flow generation. Underlying net profit after tax of $241.8 million was up 30%, which excludes M&A costs, and you can see the reconciliation to statutory NPAT in the appendix. Underlying EPS was up 30%. On this slide, you can see the split between recurring and nonrecurring revenues and between the CargoWise and non-CargoWise revenues. Recurring revenue grew by 16% or $104.3 million. This excludes $4 million in FX headwinds. The growth in revenue was driven by large global freight forwarder rollouts, including increased usage by new and existing customers, price increases to offset impacts of inflation and to generate returns on product investment, new product releases and FY '24, FY '25 M&A. CargoWise revenue was up $94.5 million or 17% organically, $82.7 million of this was from existing CargoWise customers and $11.8 million from new customers. It also includes $12.3 million from M&A over the past 2 years. Non-CargoWise revenue included $2.6 million from FY '24, FY '25 M&A and overall continued to decline as expected related to earlier acquisitions. Here, you can see that overall operating expenses for FY '25 as a percentage of revenue were down 3 percentage points from FY '24, excluding E2open M&A costs. This was driven by savings from our cost efficiency program, which achieved $40 million in annual run rate savings, exceeding our target of $33 million with $24 million net cost out in FY '25 on top of the $9 million net cost out we had delivered in FY '24. Product design and development expenses increased by $5.5 million on FY '24, reflecting continued CargoWise innovation and development. We will continue to monitor product design and development expenses in the future as the benefits of AI are realized in our development processes. Expenses supporting maintenance of non-CargoWise platforms represented 19% of total PD&D expenses, down 2 percentage points on FY '24. We expect to see further reductions in the future as these platforms are rewritten or consolidated onto CargoWise. Sales and marketing expense decreased by $8.2 million on FY '24 or 2 percentage points of revenue, largely reflecting benefits from the cost efficiency program. We continue to focus on the top 25 global freight forwarders and top 200 global logistics providers in addition to deeper future SME market penetration from the new CargoWise commercial model. Excluding onetime E2open M&A costs of $27.9 million, general and administration expenses as a percentage of revenue was 14%, flat with FY '24. FY '25 G&A includes operational investments to support future growth as well as legal and advisory costs, including the Board review and shareholder class action defense costs. Turning to the next slide, you can see our continued R&D investment in product innovation, a key differentiator and value driver for the group. Our overall investment increased by $21.7 million or 9% of FY '24, reflecting hiring and investment in the CargoWise platform. However, this was diluted by acquired businesses as reflected in the slightly lower percentage of overall revenue. 55% of our FY '25 R&D investment was capitalized, up 2 percentage points on FY '24, in line with our target range due to increased development process efficiency and continued investment in future products, which can be seen in development costs for work in progress R&D, increasing by 52% to $84.7 million as at June '25. As we continue to refine our development processes and look to deeply integrate AI, we expect to deliver consistent outcomes with greater efficiency, meaning development momentum and outcomes will remain strong even if R&D spend moderates. In FY '25, we delivered 1,226 new product enhancements on the CargoWise application suite, bringing total enhancements delivered to more than 5,700 over the last 5 years from a total investment of nearly $1 billion. Moving forward, capitalized development is expected to be approximately 55% in FY '26, and we will continue to monitor the future benefits of AI to capitalize development. Moving to the next slide. You'll see how the balance sheet and significant liquidity available provide an excellent platform for future growth. As at 30 June '25, our strong operating and free cash flow generation increased cash to $167.4 million. Receivables remained steady at $94.9 million due to onetime favorable commercial contract resolutions in FY '25, offsetting the underlying growth. Intangible assets grew $222.5 million with $99.2 million from continued investment in capitalized development and an increase of $130.4 million in goodwill and other intangible assets, reflecting recent M&A, partially offset by acquired intangibles amortization. Following the recent E2open acquisition, we expect significant changes to these line items going forward. As part of the purchase price allocation, work is ongoing to finalize the intangible asset values, which is expected to be finalized in 2H '26. As such, figures at 1H '26 may still reflect preliminary estimates. In July '25, our previous unsecured debt facility of $327.3 million was replaced with a new unsecured $3 billion syndicated debt facility to support the E2open acquisition, refinance existing debt and provide additional liquidity. The $3 billion syndicated debt facility was underwritten by 9 leading domestic and international banks. Subsequently, we undertook a market syndication of the facility, which was successfully completed in August to a strong group of more than 15 additional syndicate banks. On 30 July '25, $2.4 billion was drawn to complete the E2open acquisition on the 4th of August '25 and repay our previous debt facility. The $15.1 million increase in share capital is mainly due to new shares issued to the employee share trust to fund our employee equity program, offset by a $57.8 million movement arising from our functional currency change to USD from the start of this year, reflected in the currency change reserve. Importantly, our employee equity program is a key component of our remuneration framework to support staff retention, attract high- quality talent and encourage long-term value creation across our workforce. As at 30 June '25, we had over 90% of our employees holding shares or share rights. Lastly, turning to our FY '25 cash flow performance. Operating cash flows increased by 25%, demonstrating the strength of our highly cash-generative operating model. Our operating cash flow conversion rate of 114%, is up 7 percentage points on FY '24, reflecting higher accrued M&A expenses and benefiting from the onetime favorable commercial contract resolutions. Free cash flow was up 31% to $287 million, and free cash flow conversion was up 8 percentage points on FY '24 to 75%. We continue to reinvest more of our cash into long-term growth with $149.5 million, primarily invested in product development and new data center capacity, including acquisition of a data center building in the U.S. Taking the sum of our total revenue growth and free cash flow margins, we delivered a Rule of 40 of 51% in FY '25, down 5 percentage points due to first-time consolidation of Envase and Blume revenue in FY '24. So to sum up, we delivered a strong margin performance ahead of expectations and cash flows providing excellent liquidity to continue funding our long-term growth. Before I hand back to Zubin, it's important to highlight the combined WiseTech and E2open pro forma revenue and EBITDA for FY '25, particularly in the context of our FY '26 guidance, which Zubin will cover later. The starting point is E2open's last 4 reported quarters. We've included adjustments to align it to the WiseTech fiscal year-end of 30 June and accounting policies, including U.S. GAAP to IFRS. There is minimal impact to revenue, whilst for EBITDA, E2open's FY '25 pro forma EBITDA is $169.3 million with an EBITDA margin of 28%. This, combined with the WiseTech FY '25 reported figures, excluding E2open M&A costs, result in a total combined pro forma FY '25 revenue of almost $1.39 billion, EBITDA of $578.8 million and an EBITDA margin of 42%. It is important to note that E2open's previously published adjusted EBITDA metric is not consistent with WiseTech's EBITDA measurement, which is why we have provided this pro forma view to add clarity to users of this information and our FY '26 guidance. I'll now hand back to Zubin.
Zubin Appoo: Thanks, Caroline. As highlighted in May this year, our expanded strategic vision is to be the operating system for global trade and logistics. This is a clear signal to acknowledge the significant expanded opportunity the E2open acquisition brings to WiseTech. While broadened, it still stays true to our long-standing vision and the impact we bring to the logistics and supply chain industries. This vision drives every decision we've made and will continue to shape the outcomes we deliver. It's our people that drive the successful delivery of our 3P strategy: product, penetration and profitability. The impact for our customers can be seen in increases in their productivity, driven by significant automation delivered through our products. Over the years, this consistent and focused approach has been the foundation of our success. It has enabled us to deliver on ambitious objectives, integrate disruptive technologies and build the scale and depth that lead the industry. Through a combination of a highly skilled global team, disciplined investment and strategic acquisitions, these strengths have enabled us to solve some of the most complex logistics challenges, bringing the largest global freight forwarders onto our CargoWise application suite. Now it's time for WiseTech's next frontier. We have an opportunity to set a new and accelerated growth trajectory for the long-term future, one that embraces the strength of the foundations we've laid while driving with positive urgency the vast opportunities ahead of us to capture new markets, adopt disruptive technologies and create solutions that the industry does not yet know it needs. Our flagship product, CargoWise, is foundational to this growth. Since IPO 9 years ago, CargoWise recurring revenue has grown by $615.2 million at a 31% compounded annual growth rate on a constant currency basis. This has reduced from a compounded annual growth rate of 33% in previous years due to lower organic revenue growth in FY '25 from product delays as previously disclosed during the year. Large global freight forwarder rollouts are still a very significant driver for CargoWise recurring revenue growth. Looking at FY '26 and beyond, we expect future CargoWise recurring revenue growth to continue to be driven by large global freight forwarder rollouts, further penetration of new and existing products and features, the launch of our new CargoWise commercial model as well as many ongoing R&D investments, delivering additional new products, including AI. I'll be speaking about some of these initiatives in detail. It's also important to note that we will continue to look at opportunities to accelerate our growth through M&A to grow and scale our product development capability and our ability to drive deep productivity and efficiency into our markets. This slide highlights an important change that brings together the full breadth of our ecosystem, combining WiseTech's deep capabilities across global logistics with the additional verticals and market reach we've gained through the acquisition of E2open. This clearly demonstrates that together, we now cover the complete spectrum from demand to supply, giving us a unique end-to-end offering across the global supply chain. When you look at that in the context of the $11 trillion global logistics industry, this represents significant potential for additional automation and cost efficiency. Now by bringing E2open's capabilities into our ecosystem, we aim to connect all supply chain participants, including exporters, importers, brand owners, manufacturers and ocean, air, rail and road carriers, terminal operators, warehousing, customs border agencies and trade regulators as well as banking and trade finance participants. This is truly transformational. It builds a multisided marketplace that brings all the players in trade, logistics execution and the supply chain to a single place powered by WiseTech. This means we can build truly connected data flows, deep integrations that drive efficiency into the end-to-end flow of goods and extract value from this for our shareholders. Along with our traditional market of international freight forwarding, E2open now provides a product suite and customer network that accelerates WiseTech's strategy by at least a decade. And you can see exactly where we will be extending our focus and capability across global trade and the supply chain. Through the integration and linking of data and processes, we will bring control, visibility and predictability across the whole value chain with integrations, capabilities and optimizations that improve productivity and drive efficiencies, all while delivering cost savings and significant benefits. We've also signed a strategic government contract with the New Zealand Custom Service to digitize the maintenance of the working tariff of New Zealand. During the early phase of this project, WiseTech is releasing at no cost to users, the BorderWise New Zealand Community Edition. This is a logical step in our goal to digitally connect all users within global trade and logistics, driving greater productivity and efficiencies across the industry. We intend for this model to be replicated to other countries across the globe. Let me now turn to Container Transport Optimization, or CTO. Container Transport Optimization represents a major step forward in addressing one of the industry's most persistent challenges, the inefficiencies and suboptimal scheduling of container movements. By applying advanced optimization algorithms, CTO will enable transport companies, shippers and logistics providers to maximize efficiencies across container movements, reduce unnecessary and inefficient container movements and truck journeys and significantly lower both operating costs and environmental impacts. The benefits will be significant. For the industry, this translates to fewer empty runs or dead legs, improved delivery reliability, better asset use and reduced carbon emissions, all of which are increasingly important to both customers and regulators. And because CTO will be fully integrated into the CargoWise platform, it will allow supply chain partners to collaborate on these optimizations in real time. Importantly, for shareholders, this means a new revenue stream that will be driven by the significant efficiency and therefore, cost improvements CTO delivers to shippers, importers, exporters, logistics service providers, land transport companies and terminals. Providing sophisticated, optimized, automated planning, predictable execution and real-time data, CTO doesn't just make operations more efficient, it will create a substantial competitive advantage for those, who adopt it early, driving higher margins and service quality whilst delivering a slice of that value creation to WiseTech. We note that while there have been delays in launch, in part, this is a result of expanded optimizations and access to even larger data sets that will broaden CTO's scope and extend its potential value. Along with CargoWise's existing container visibility, the addition of E2open and INTTRA adds nearly 40 million additional containers across the supply chain, further lifting the efficiency gains through higher levels of export matching. Yesterday, we announced a significant partnership with ACFS, a leading container logistics operator in Australia with blue-chip customers, including Kmart, Bunnings, Coles Group, Woolworths Group and Aldi. Under the partnership, ACFS will work with WiseTech to implement CTO to optimize container movements across its operations and infrastructure, including drivers, trucks, trailers, gates and terminals. Initial launch will be the East Coast of Australia, and revenues are expected in the first half of FY '26. We expect continued product and commercial model maturation into FY '27 and beyond, supporting strong growth as we add additional countries, container transport operators and port locations. Now to agentic AI across WiseTech and within our products. AI will be central to our products, to our CargoWise customers' productivity and to the way WiseTech builds its products and runs its business operations and management. Leveraging our existing CargoWise workflow engine, which is the backbone of all work processes throughout CargoWise, our agentic AI-enabled workflow automation will be a game changer for our customers and the industry. Integrating directly into CargoWise operations, AI workflow will use AI personas that understand job roles and skills that automate processing of many aspects of trade and logistics. Our agentic AI-enabled management engine will create widespan management of people, processes and service provision, reducing or removing human bottlenecks, allowing execution of many standard work processes, nearly all without human involvement. The agentic AI can work 24/7 at a fraction of the cost of manual actions. The operational agents within the workflow can perform specific skill tasks and roles, which will dramatically improve our customer speed, accuracy and productivity and the ability to scale without proportional increases in head count. On this slide, you can see an early example operational workflow for an import customs entry. From ingestion of documents through to invoicing, each task step is driven and completed quickly and at near 0 cost by an AI agent, where specific human analysis or human verification is required as part of regulatory or process requirements, the AI workflow engages live operators to complete that obligation. On this slide, you can see an example AI management engine with a review task related to container movement, including the different AI personas that manage specific tasks. The AI management engine will sit across the system, monitoring for errors, exceptions, analyzing operational data and initiating the corrective actions such as escalating problems, triggering corrective or avoidance actions and ensuring customer service level agreements are not breached, tasks that previously required significant and repetitive human intervention and were always incredibly difficult to do with quality at scale. These specialized management agents with defined tasks, skills and knowledge can be scheduled to run reviews at any interval, minutes, hours, days or months and targeted to global country level or customer-specific checks, so a variety of manual checks and corrections can now be automated, freeing managers for high-function activities. I'm pleased to share that we are in discussions with a number of large customers to enter into transformative AI partnerships to implement the AI workflow and AI management engines. This will mark a major step towards reshaping logistics workflows. Now on to our new CargoWise commercial model, which represents one of the most significant shifts in our business model since the inception of CargoWise. Historically, our pricing has been based on a seat plus transaction model, meaning customers pay a per user license for all major modules alongside transaction-based charges for each value-creating transaction. While this model has served us well, the landscape is changing rapidly. The advent of advanced automation and AI, particularly the automation of entire workflows means customers can now achieve the same or greater output with far fewer human operators. A traditional seat-based model is not well suited to this significant AI productivity improvement. And so our pricing model must evolve. Our new model removes the per seat component entirely. Instead, customers will pay a single all-inclusive per transaction price for the new CargoWise value pack that covers all core and many extended capabilities. The new model directly aligns pricing with value delivered, not head count, removing a key barrier to adoption of new features in CargoWise. Second, it brings transparency to software costs. Our charge is a tiny percentage of the transport costs and of the total landed cost of goods. For our customers, the benefits are clear. They will gain unrestricted access to a whole of operations package with all the essential productivity and functional capabilities, including our whole international freight forwarding, customs and compliance suite, our new AI workflow and management engine, ComplianceWise, transit warehouse, electronic documentation and many other functions, modules and new features available only within the CargoWise value pack within CargoWise Next, all driving significant productivity and efficiencies without any user or seat costs. This new model is highly attractive for our large customers and for small- and medium-sized enterprises, a segment where we previously had limited reach due to the previous existing licensing model. That barrier is now removed. Over time, as customers increase their transaction volumes, either through organic growth, automation gains or by consolidating more of their operations onto our platform, our revenue scale accordingly. The model is inherently aligned to value generation and growth in customer throughput. We expect the new CargoWise commercial model to begin initial rollout in first half '26 and roll out rapidly given the strong value proposition to our customers. As I mentioned earlier, the acquisition of E2open is a truly transformative step for WiseTech that is yet another significant driver of sustainable long-term growth. At its core, this acquisition is about unlocking opportunities to enter important new markets with significant reach into our new customer segments, strengthen our end-to-end product offerings, build a multisided marketplace in which customers and suppliers participate in highly efficient digital straight-through processing, add to our deep knowledge and expertise through the E2open team and drive scalable innovation by combining our product strengths. WiseTech can now drive deep productivity improvements and efficiencies using disruptive technology into every single aspect from supply and manufacturing through the logistics and transport processes and into demand. This expands our total addressable market, our product reach and our ability to add value to the trade and logistics industries. As with all of our integrations, this will be a deliberate and thoughtful process. We completed the acquisition on the 4th of August. And while our long-term goal is full alignment from culture and systems to product and commercial strategy, over the next few months, we will take time to get to know our new team members, operating principles and bring our teams, products and strategies together. At a high level, we're focused on aligning our cultures around shared values and principles, centralizing business functions, consolidating our product road maps with a shared product-led strategy, exploring commercial and revenue opportunities across both customer bases and installing our productivity processes to streamline how we work. I want to thank and congratulate Mark Hall, who has taken on the added responsibility of being the CEO for E2open. Mark's role will focus on leading successful integration as we bring together our teams, driving efficiencies and identifying product, revenue and cost synergies as we build toward a stronger unified organization. Working together with external advisers, our integration plan is well underway. On the slide, you can see the 3 horizons we are working towards. While services are part of the E2open business, we expect services revenue to decline as we gradually move the professional services to our more than 700 strong partner network as we have done with other acquired businesses, driving trust and value in our partner community and allowing WiseTech to focus on product innovation and excellence. We're also targeting a $50 million run rate cost synergy by the end of FY '27, and we see clear opportunities to drive ongoing additional AI cost savings over the next few years. Revenue and product synergies are becoming much clearer now that we have the E2open team working closely with us, and we see significant opportunities ahead to build a truly connected multisided logistics and trade marketplace. In terms of penetration, we secured 2 top 25 global freight forwarder rollouts in FY '25 with Nippon Express and LOGISTEED, our best year for top 25 customer wins. This highlights the significant value that CargoWise brings to this industry. Also, importantly, based on relative size, these 2 rollouts represent substantial growth in our penetration across large global freight forwarders, adding more than 3x the expected users versus the total wins in FY '24. We now have 14 top 25 customers on CargoWise global rollouts with the remainder mostly using their own in-house legacy systems. When you include the expected impact of the new AI workflow and AI management engines, we have a significantly improved opportunity for CargoWise wins. Three new organic global rollouts that are now in production are SPARX, MOL Logistics and Mondiale VGL, meaning we now have a total of 55 large global freight forwarder rollouts. Note that the 13 large global freight forwarders that are contracted and in progress have less than 25% of their expected users currently live on CargoWise. So again, further clear revenue growth already locked in. Industry consolidation through M&A continues to benefit our customers and CargoWise sales. For example, the integration of DB Schenker by DSV shows the growing penetration of CargoWise without the need for a new commercial contract or process. On this slide, you can see the revenue growth trajectory from our large global freight forwarder rollouts. From a revenue perspective, the 42 global rollouts in production have delivered a compounded annual growth rate of 36% since FY '16, with top 25 global freight forwarders growing at a CAGR of 39%. Looking ahead, there are a number of future growth drivers, including the 13 global rollouts contracted and in progress, which include 5 of the top 25 growing at a compounded rate of 108% since FY '21. The size of the expected user base signed, but not currently live on CargoWise has increased by 125% on FY '24 with the addition of the 2 new top 25 wins with Nippon Express and LOGISTEED during the year. On to profitability. Our focus is to drive shareholder returns through our high-growth and scalable SaaS model while delivering strong profitability and operating cash flow generation. Our company-wide efficiency program has exceeded its target of $33 million and achieved $40 million annual run rate savings with $24 million net cost out in the year. In June, we started a phased restructuring program focused on building high productivity and high-efficiency teams and ensuring that we are well positioned to take advantage of the significant advancements in AI. This will help to drive efficient investment focused on product development to deliver future growth and expanded returns, targeting annual run rate EBITDA savings of $18 million by end of FY '27, including capitalized development savings. This leads me to our guidance for FY '26 and our continued sustainable long-term growth outlook. Our guidance is based on the assumptions we've set out here and in the appendix of our investor presentation. Assuming there are no material changes to these assumptions and no unforeseen events that arise prior to 30 June 2026, we expect to deliver revenue of $1.39 billion to $1.44 billion, representing revenue growth of 79% to 85%. CargoWise revenue is expected to grow between approximately 14% to 21% in FY '26, and we expect FY '26 to be 3 percentage points more weighted to the second half than in FY '25 due to the launch and rollout of new products and the new commercial model. E2open revenue is included from the 4th of August 2025. Initial E2open estimates for the year ended Feb 2026 are adjusted for an expected reduction in professional services as we align as with other acquired businesses to the WiseTech partner model and reflects our long-term strategic focus on recurring revenue. EBITDA margin rate is expected to be in the 40% to 41% range. In terms of FY '26 EBITDA, we expect to deliver $550 million to $585 million, representing EBITDA growth of between 44% and 53%, with the FY '26 EBITDA margin exit run rate expected to be 43% to 44%. To provide additional transparency, we've included an FY '25 pro forma slide that Caroline explained earlier, which should be read in conjunction with FY '26 guidance. We have consistently delivered a strong track record of sustainable revenue, EBITDA and cash flow growth since our listing, achieving 30% revenue CAGR, 37% EBITDA CAGR and 45% free cash flow CAGR demonstrates the focus on our strategy and the strength and resilience of our business model. It's important to note that as we've seen over time, while our larger strategic acquisitions are being integrated, our near-term EBITDA margins will be lower. However, this does recover as we optimize and align to the WiseTech model. We now have an opportunity to accelerate and drive a new era of growth through our focus on delivering new products for our customers that use disruptive technologies to drive efficiency and productivity. As I said at the start of the presentation, our EBITDA margin rate was slightly ahead of expectations, highlighting the underlying operating strength of the business. Our breakthrough products continue to progress towards revenue generation with the CargoWise Next rollout essentially complete. The potential value of Container Transport Optimization has increased, and we have announced a strategic partnership with ACFS Port Logistics. Our strategic acquisition of E2open represents a transformative step for WiseTech, significantly increasing our total addressable market. And our new CargoWise commercial model will drive long-term revenue growth, product adoption, deeper market penetration, reduced friction and additional value creation through deep AI workflow and management engine opportunity, further embedding CargoWise's extensive capabilities across the global supply chain. Looking ahead, we see an incredibly exciting future for WiseTech. We are positioned at the forefront of innovation in the global logistics, trade and supply chain industry. The advances I discussed today are not just incremental. They will reshape how our customers operate, drive large-scale automation, unlocking efficiency, productivity, accuracy and scale that were previously out of reach. Coupled with our proven ability to integrate and expand across our growing ecosystem, we have the capabilities, the technology, the people and the execution track record to seize the significant opportunities before us, both in our core segments and in entirely new segments, we are now equipped to help revolutionize. As a high-performing team, we work with urgency, we are decisive and own the outcomes. We will push boundaries, challenge the status quo, focus on the most impactful work and constantly strive to be productive and efficient. This is how we will approach our new frontier of growth and success. Our deep commitment to delivering innovation and powerful products to our global trade and logistics customers is our recipe for success. As we continue to deliver on our vision, the many opportunities along our way to sustainable long-term growth are clear. Our products and investments are continuing to add value to our customers and drive recurring revenues for WiseTech deeply aligned to their growth. The new markets we are entering expand our addressable market materially, while our innovation pipeline ensures we remain the partner of choice for the industry's leaders. For our shareholders, this means ongoing value creation, strong resilient revenue growth, expanding margins through efficiency and a business model built to thrive in an evolving technology-driven logistics landscape. We are confident that the strategy we're executing today will continue to deliver on the strong growth of our business and create strong long-term shareholder value. We will be holding an Investor Day in December this year, where we'll provide updates on the initiatives I've spoken about today. Before we open for questions, I'd like to ask Richard, who continues to drive our product innovation, to say a few words.
Richard John White: Thanks, Zubin, and good morning, everyone. I want to start by saying how energized I am about the future of WiseTech. Our purpose as a business to transform global trade and logistics with product innovation has remained steadfast for more than 3 decades. It is a purpose I'm incredibly proud of. Today, as Executive Chair and Chief Innovation Officer, I remain deeply committed to driving our long-term product vision, innovation and strategic investments. WiseTech is my life's work, and I could not be more passionate about or committed to the road ahead. One of the most important steps we have taken this year is appointing Zubin as our CEO. Zubin brings an outstanding blend of technology thinking, leadership, deep product knowledge and understanding of our culture, witnessing the passion and drive he has already brought to the business and the focus on urgency, delivery, product innovation and building culture fills the Board and myself with confidence. Alongside our senior leadership team, Zubin is positioned to drive enhanced business execution while I focus on short- and long-term innovation and product-driven value creation. Working together with Zubin has always been a true pleasure and our new working partnership strengthens WiseTech for the next phase of growth and ensures we continue to deliver strong returns for shareholders and value for customers for many years to come. We have also made significant progress on Board renewal with the appointment of 4 independent directors since late March, including a lead independent director, ensuring robust governance, accountability and diverse skills, experience and perspectives to guide our future. Since I returned in February and especially since Zubin rejoined, originally as Chief of Staff and now as CEO, the team has accelerated, innovated and executed at an incredible pace. Here are the headline list of product innovations, growth vectors and business accelerators. The CargoWise Next rollout now essentially complete, the CargoWise AI workflow engine and the AI management engine due in first half '26. The E2open acquisition completed on August 4, far faster than many expected. The enhanced CTO model amplified by E2open's intracontainer data and further optimizations. For CTO rollout and commercialization, we have announced a strategic partnership with industry leader, ACFS, a leading Australian container transport provider. The new commercial model now called the CargoWise Value Pack, allowing better market access and growth into small, medium, and large customers enhanced by the AI workflow engine and management engines. The customs tariff management portal, initially for New Zealand, a product and model that we will develop, enhance and market across the world to other governments and border agencies. The BorderWise New Zealand Community Edition provided at no cost under the New Zealand custom service contract to all those involved in international trade and transport in New Zealand. Our initial evaluation of the E2open product suite and the leverage of those products, which include many products that we see as diamonds in the rough or already cut and polished diamonds. For the first time, the opportunity to combine the enormous data sets that WiseTech and E2open bring to develop a new revenue line, monetizing aggregated trade economic indicators for investors, analysts and other customers and agencies that need early predictive economic trends. Additionally, within WiseTech itself, we have focused on a combination of increasing execution at the same time as increasing efficiency and effectiveness of that execution by the use of AI in the WiseTech software and product development process, which is seeing early results that show significant improvements infusing AI automation into design, coding and the quality and security of the products we create. And because we use a specialized version of CargoWise to run operations and management across the whole of WiseTech, the AI workflow infuse productivity improvements of our own business processes, including customer service support, sales and many other operational management workflows. From this, you can see, as I can, a revitalized WiseTech that is more driven, more innovative, more global and creating more value and efficiency within global trade and logistics. Ultimately, making the process of global trade and logistics more efficient and more effective provides substantial value to all, especially the end consumer. With Zubin leading a strong WiseTech team, a renewed independent Board and a powerful and rapidly expanding product pipeline and addressable market, we are positioned better than ever to grow our addressable market further and seize the many opportunities before us. WiseTech is and will continue to be a leading developer of solutions for global trade and logistics. The work we are doing today from disruptive products to transformative acquisitions lays the foundation for decades of growth, value creation and industry leadership. Thank you for your support and belief in WiseTech. What your support has allowed us to build and what the future holds is extraordinary, and I am more committed than ever to delivering that future. Back to you, Zubin.
Zubin Appoo: Thanks, Richard. The future is indeed very bright. Now let's open for questions.
Operator: [Operator Instructions] The first question today comes from Kane Hannan from Goldman Sachs.
Kane Hannan: I suppose just the CargoWise revenue growth guidance, if I run that at the midpoint, run that sort of revenue skew you're talking to, you basically have 10% growth in the first half and then accelerating to 25% in the second half. So I know you've touched on a couple of things in the presentation, but can you just help us understand a little bit more what's driving that first half growth rate and then that acceleration, how the new commercial model is impacting that? I mean do we -- as you're implementing or thinking about implementing this, do we defer price rises or other things that we should be aware about? And just how you see the net impact of the commercial model sort of through '26 and '27 would be great.
Zubin Appoo: Thanks, Kane. There are a few questions there. I'll let Caroline jump in at the end, but I'll start by saying that some of the large top 25 wins that we've had, so Nippon and LOGISTEED, we know that those rollouts take time, and we know that revenue will be stronger in the second half and then also in FY '27. We also know that products take time to roll out and take time to penetrate into our customer base. So it's important that we look at that growth rate across multiple years rather than looking just at a single year. Caroline?
Caroline Pham: Yes. No, that's exactly right, Zubin. I think what I would add there is in terms of what you calculated for a first half CargoWise growth rate, it really is just about timing. If you think about all the different levers that we have that drive our CargoWise recurring revenue growth, it's not one single thing. It can obviously be impacted by deliberate actions that we take, such as delaying the release of the breakthrough products. But if you look at other drivers such as the impact from large global freight forwarder rollouts, increases from new and existing customer growth, those are things that are still performing really well on the underlying business. And so as Zubin said, it's really important to look at this metric across a number of years as opposed to just half-on-half.
Kane Hannan: How should we think about the '27 growth rate then should it hold that second half rate?
Caroline Pham: Yes. So we're not going to guide on '27 at the moment. I think the key thing to keep in mind is that we're saying that we're going to have CargoWise recurring revenue growth in the range of 14% to 21%. And really, the second half skew is driven by the rollout and timing of the new commercial model as well as the new products, and we'll give you an update as we go throughout the year in terms of how those rollouts are progressing.
Operator: The next question comes from Nick Basile from CLSA.
Nicholas Basile: Just one question on the commercial model. I think you mentioned the fact that under that model, there will now be access to all international freight modules, including customs. So I'm just interested to understand how the team is thinking about the impact of that on, I guess, '26 and beyond growth given the trade tariff situation and volatility.
Zubin Appoo: Yes. Thanks, Nick. So look, the new commercial model, it's important we talk about the drivers really that led us to the development of the CargoWise Value Pack. The first driver is about the AI and what we just talked about. So if we implement the AI workflow engine and management engine, it will obviously mean that customers can get the same level of growth or, in fact, greater growth with less head count or with a nonproportional increase in head count. So having a transactional commercial model that's based on seats is no longer viable. That's reason one. Reason two is that we believe strongly that many of the features and products and modules in CargoWise are very powerful for our customers in terms of productivity. But because of the transactional pricing of those individual features, there's quite a lot of friction for customers to adopt them. The new model removes that friction. So the new commercial model really is seen as a valuable package of multiple capabilities that can be used across the entire business.
Caroline Pham: One thing I might add there as well to what Zubin said is in relation to your comment on tariffs, something that we've always said is that we typically find that increasing complexity in tariffs and in general, the regulatory environment that our customers operate in is actually a tailwind for us. We don't expect that to change with the new commercial model. In fact, we expect that to still be the same. And it's not a difference in terms of the modules that will be made available to customers. They'll have all of what they have today and more.
Nicholas Basile: Yes. I guess part of the question was sort of trying to understand what sort of take-up you might think about as it relates to the guidance as a result of opening it up to a lot more customers who may not have thought to kind of rollout on that module?
Caroline Pham: Yes. No, it's a really good point. And as we pointed out in the presentation, we expect that the way that we've packaged the features in the CargoWise Value Pack for us to be able to more deeply penetrate the SME market.
Operator: The next question comes from Roger Samuel from Jefferies.
Roger Samuel: I've got a question about your FY '26 guidance, which looks like it assumes or you use the reported EBITDA number from E2open as opposed to the adjusted EBITDA number, which is what you used when you announced the acquisition of E2open. And I'm just wondering, going forward, do you expect the gap between adjusted and reported EBITDA to close from E2open, given that most of the gap is due to share-based compensation and there are some nonrecurring charges in that business as well. And also the second part of my question is, since you didn't perform a thorough due diligence when you announced the acquisition, what have you found now and whether it's positive or negative?
Caroline Pham: Yes. Thanks for your question. So I think the first thing to clarify is that in terms of the EBITDA numbers that we're using, you're right. The biggest adjustment that's gone through is in relation to share-based payments because with E2open, they don't actually include that expense in their EBITDA, whereas we do. In reference to the EBITDA that we used when we announced the acquisition, we actually just posted what their reported numbers were. We weren't using that to indicate that that's what should be used going forward. In Slide 15 of the deck today, what we've shown you on the pro forma page is the EBITDA number that you should be using, which is the pro forma of 28% for E2open and then 42% for the combined business. Going forward, we're not going to report reported pro forma and adjusted EBITDA. We're just going to report under the WiseTech reporting structure, which is just the EBITDA that we usually have here, which is the 42% for the combined business. In terms of the second part of the question, I might just hand over to Zubin in terms of giving an update on the due diligence process and also what additional things we've identified.
Zubin Appoo: Thank you, Caroline. So Roger, the second part of your question asked about positive. So there are 2 things I'll talk to there. The first is that it's only been 3 weeks, but we have seen very strong cultural alignment across the 2 businesses. So that's a strong positive. More importantly, we've seen a deep product focus, just like WiseTech is a very product-centric business, we've seen a deep desire in the E2open team to also have that product centricity. So that aligns very closely with the way that WiseTech operates and wants E2open to operate. The second part of that is that in the 3 weeks that we've owned the business, we have been pleasantly surprised by the number of opportunities we see to leverage the E2open large product suite to make the WiseTech ecosystem even more powerful. Now that will obviously take time for us to explore given it's only been 3 weeks, but the opportunities there are significant. And sorry, the last thing is -- sorry, I'll just add one more thing. Given it was a public company, obviously, during that DD process, we were quite restricted in what we could access. Hence, these discoveries, positive discoveries over the last 3 weeks.
Roger Samuel: And can I just circle back on the share-based compensation for you to open, whether that's going to reduce over time, given that now you own the business?
Caroline Pham: So I think there's 2 things. I think the part of your question was really the gap between adjusted EBITDA and pro forma EBITDA. What I'm saying here is, I think just focus on the pro forma EBITDA that we've given you because we won't be sort of reconciling back to adjusted EBITDA. The share-based payment expense will continue to be reported under the WiseTech basis, which includes that expense in the consolidated number. Now in terms of how that will look over time, we've not indicated what that will be, but that's obviously going to be a function of how the benefits alignment will work with E2open, which we haven't started yet. We're just looking into that now. Obviously, with WiseTech, we have over 90% of our employees holding shares or share rights. E2open has a slightly different structure at the moment. And so as we work through how that alignment works, that will obviously impact the share-based payment expense.
Operator: The next question comes from Paul Mason from E&P.
Paul Mason: I just wanted to ask about Container Transport Optimization and guidance. The market has sort of been wondering about like timing and you guys have given some dates, but sort of the magnitude looks a little bit funny given what you guys had previously said at the Investor Day where it was going to be like a $70 million contribution from East Coast Australia and maybe a little bit of the U.S. and now seeing the CargoWise growth rates, it sort of looks like there's nothing in the guidance even though it's going live basically. So I just wanted to check in on like basic premises of CTO about like whether you're still looking at charging something like the $70 in optimization whether you're expecting like a more gradual rollout or whether the actual timing of the product landing in Australia at scale and landing in West Coast U.S. at scale is sort of unchanged roughly. Yes, just some things like that to sort of cover off on why it's going live, but there's not like this surge in guidance like there was previously?
Zubin Appoo: Thanks, Paul. So the 2 main points I'll cover there is that we do see now, given the E2open intra offering and the container visibility we get from that, we see a significant expanded value opportunity there. But that value opportunity, given we've only owned E2open for 3 weeks, will take some time to realize. And given our mantra slower today, faster forever, we are very consistent in our view that we need to think deeply about these opportunities and ensure that we roll them out at the right pace so that we tap into as much value as possible. Having said that, you will also have seen yesterday and today that we talked about the partnership with ACFS, one of Australia's leading container transport operators, giving us access to their infrastructure, their trucks, their drivers, their trailers, having such a sophisticated partner to drive the commercialization of CTO is a very valuable proposition for us. So we see the prize at the end of this is much larger. There's many more opportunities than we had originally thought. It's just a matter of timing and making sure that we roll that out at the right pace.
Operator: The next question comes from Siraj Ahmed from Citigroup.
Siraj Ahmed: Can you hear me okay?
Caroline Pham: We can hear you, Siraj.
Siraj Ahmed: Zubin, just -- sorry to keep hopping on the CargoWise revenue growth, but can you maybe just touch on why revenue missed in the second half of '25? It's actually slowed quite a bit and just that first half slowdown as well. I mean I get that -- is it just that the rollout of LOGISTEED and the other [indiscernible] been slowed -- has been delayed? And then just on that as well in terms of second half pickup, it sounds like you're saying CTO, this partnership is not actually not driving much meaningful revenue because it's a partnership with ACFS. And like-for-like, this new commercial model, is it actually incrementally -- is it meant to be an uplift on revenue? And if so, how much for one customer? If you could just raise it 5%, 10% or something, that would be really helpful.
Zubin Appoo: Thanks, Siraj. Look, let me start with the second part of your question about CTO. It's essentially what I was just answering for Paul. The opportunity here is much larger given INTTRA container visibility and given the ACFS partnership. But again, given we've only had that container visibility for the last 3 weeks or access to that container data for 3 weeks and given we have a number of expanded algorithmic optimizations that we want to deliver, that will just take some time, and that's what we're working through. On the third part of your question, which I think was around how we compare the new commercial model to the existing in terms of value, what we see there is that given that the AI opportunities that we talked about will only be available to customers that do take up the new commercial model and given we know and we can see the impact that AI will have on their operations and their own businesses growth, we think there's a very compelling reason for customers to migrate to that model. And as customers migrate to that model and their businesses become more efficient, obviously, then there's an opportunity for WiseTech to tap into that value creation. On the first part of your question about the revenue skew, I'll just ask Caroline to comment on that.
Caroline Pham: Yes, sure. Thanks, Zubin. So I think your question was really centered around why is it that the second half '25 has perhaps slowed down? And is this the result of a delay? So I think, again, in relation to one of the earlier questions that was asked, and we spoke about the multiple levers that we have that drive CargoWise growth, it really is looking at the timing and the mix of when all of those happen. And so I think if you think about LOGISTEED and Nippon coming on in FY '25, as Zubin said, these are 2 of the largest top 25. They're the 2 largest in Japan. And so these will take time, especially in the beginning to start to roll out. So the impact in FY '26 is going to be lower than in future years. In relation to major new products as well, you obviously know about the delay that we've had intentionally on CTO, compliance-wise and CargoWise Next. And so the difference between 2H '25, 1H '26 and the skew weighted towards second half '26 is really just about the timing and the uptake of the new products and the commercial model. But overall, you've seen that we've delivered in the last 9 years, a CargoWise CAGR of a very strong 31% still.
Operator: The next question comes from Bob Chen from JPMorgan.
Bob Chen: Just a quick one on some of the earlier comments around DB Schenker and DSV. You're talking about that sort of helping the acquisition sort of helping your rollout of CargoWise. I mean I think we've seen some press comments around DB Schenker talking to leveraging that Tango platform or DSV leveraging that Tango platform from DB Schenker. Like has that had any sort of impact to your business and your sort of negotiations with them with your sort of contract that you have? And with your new commercial model, given that it's a bit of a one-size fits all model, does that -- like how do your larger customers sort of think about that model compared to what they're currently doing where they might have a bit of a best-of-breed product mix?
Caroline Pham: Yes, sure. Why don't I take the first part of your question? And then in terms of the new commercial model and large customers, I'll let Zubin answer that. So look, in relation to DSV and DB Schenker, firstly, we don't want to get into the details of specific customers because those are obviously confidential. In relation to the public statements that they've made in relation to Tango, I think the key takeaway for us there is that they've said that they're going to be moving 85% of their users on to CargoWise within the next couple of years. And so in terms of the relationship that we've got with DSV, that's still very strong. We've not really seen any impacts on our side. We're really just focused on helping them rolling out on CargoWise with DB Schenker.
Zubin Appoo: Thanks, Caroline. And to the second part of your question, in terms of the new commercial model rollout to our large customers, we speak to our large customers and to the market all the time, and we have a very clear understanding that in this type of industry, the pressure on cost is significant. They are very cost-focused businesses. And if we can deliver substantial more efficiency and therefore, cost savings through the AI workflow engine and the AI management engine, but also through all of the other productivity and efficiency tools and automations that we deliver historically in CargoWise, but also future innovations, then there is a real motivator there for these customers to adopt to the new model. Remember that with the current model, in order to access a new feature, there is incremental transactional revenue. With the value pack, what we do is we're packaging multiple core and extended capabilities into a single transactional price where they access all of those benefits. That allows them to be more efficient. It allows them to be more productive and ultimately allows them to grow. So again, a very compelling reason for those large and SME customers to adopt CargoWise at a more accelerated rate.
Operator: The next question comes from Gary Sherif from Royal Bank of Canada.
Garry Sherriff: Just on E2open, the $45 million to $50 million costs for integrating in FY '26. Should we expect more beyond that into '27? Just trying to get a sense, I know it's only a few weeks in, but in terms of what challenges do you foresee from a tech stack perspective, from an integration perspective, anything on costs beyond '26 that's likely to continue? And any early signs, I guess, on what you're thinking from any modules being stand-alone or integrated, I guess?
Caroline Pham: Yes, sure. Thanks for your question. I'll answer the first part in relation to cost expectations, and then I'll hand over to Zubin to talk about any costs associated with changes in the tech stack or modules. So yes, you're right. In FY '26, we've noted here that we're going to have approximately $45 million to $50 million of one-off costs. And it's really a mix of cost. It's not just integration, but there will be things like retention as well as break costs in relation to some of the cost synergies that we're executing in this year. Now in terms of what does that look like going into '27, we're obviously not going to guide to what those numbers will be after '26. But I think it's important to note that with an acquisition as large as E2open, it's essentially the same size as WiseTech, the integration itself is going to take multiple phases, and it's going to happen over several years. And so whilst we've got a number of costs that we can foresee and we've given visibility over this year, as we start to unlock and discover sort of more diamonds, as Richard referred to earlier, some of those diamonds might require a little bit of investment in order to extract the value or to increase the value. And so as we get further into the integration process, we'll give you an update on what those cost profiles will look like. Zubin?
Zubin Appoo: Yes. And similar to what we said about discovering product opportunities and leverage opportunities in the first 3 weeks, we've also discovered a number of other opportunities that we're still quantifying related to costs. So we know that the WiseTech Way and the WiseTech efficiency and productivity model will drive cost efficiency into the business. We know that there are opportunities to think about their technology stacks, their infrastructure, specifically their data centers and how we can drive again the WiseTech efficiency model. Now we don't have specific numbers on those because those are still things we're working through, but we expect there is significant opportunity there in the future. Caroline?
Caroline Pham: Yes. Just one thing I wanted to add as well is in relation to the one-off costs that we're seeing -- that we're going to see in FY '26, it's important to note that these obviously have a margin impact. So we've said here that the approximately 45% to 50% is going to drive about 2 to 3 points of margin dilution. But equally as important is what we flagged in terms of the FY '26 EBITDA margin exit run rate, which is 43% to 44%. So it's really some margin dilution from the onetime costs essentially being offset by improvement in performance of the underlying business.
Zubin Appoo: You would have also seen that with prior large acquisitions, we've seen that EBITDA margin rate drop and then recover as we do introduce those WiseTech efficiencies.
Garry Sherriff: Yes. No, that makes sense. And yes, you're right with that exit rate being closer to 43-odd percent. I mean it still missed market expectation, I guess, for closer to 47% for the full year '26. Is there anything we're missing in terms of the EBITDA being worse for the core? Or is it mainly perhaps just E2open maybe being a little bit below, I guess, a profitability perspective than you originally thought?
Caroline Pham: Yes, Gary. So I think the key thing here is not anything to do with different expectations on E2open's profitability. It's really about the treatment of the share-based payments. And so if you -- I really sort of encourage everyone to look closely at Slide 15 and understand how we've built up the pro forma number because that will walk you from the reported EBITDA numbers for E2open to what we've used as the baseline for FY '25 going into FY '26. So it's really just the treatment of the accounting adjustments.
Operator: The next question comes from Andrew Gillies from Macquarie.
Andrew Gillies: I'd just love to get some insight into how you kind of think about when a product is sort of right for market or fit for market, given there's obviously been an expanding customer value proposition, new commercial model, new customers. But kind of can you give us some insight into internally how you decide when to press the button and push the product?
Richard John White: I'll answer that one. So first of all, within the company, in our product and development teams, there are many, many people that come from industry and have worked in logistics and in supply chain for many, many, many of the years. So we have a lot of expertise inside the business, and we actually run these products in beta test mode away from customers so that we get a pretty good understanding of how the products work. And then we give it to a small group of customers who can vet and strengthen the model as we're doing with ACFS. That's a good example of an example where we're pushing it into a customer and making a partnership to build that out. It is an evolving thing. You can't say when a product is ready until your customer tells you it's ready, but that happens all the time with us and on many different aspects of product. So that's a very mature process. With the new commercial model specifically, it's important to understand that, that product is -- it is a value pack, so a package of a large set of capabilities not quite half of those capabilities are to the benefit of the logistics customer. They don't operate within the logistics -- the forwarders business. They operate within the logistics customers business, things like electronic bills of lading, which makes their banking and letters of credit better, certificates of origin and many other documentary processes that are beneficial to the supply chain itself rather than to the logistics provider. So that bundle crosses between the forwarder, the logistics provider and the logistics customer. And so that's a complex thing to roll out. However, it's very strongly driven by the new model -- new AI model, the agentic personas and how that's going to affect costs inside our customers and inside their customers. And we think that, that model will run much faster than previous transitions between, for instance, the model that we had, which was STL. So that took about 3 years to clean that model. In recent times, we've been rolling out very quickly. For instance, the CargoWise Next rollout completed very rapidly once we got the product into commercialization. It took 6 months to get it really hard and to commercialize. But once we did that, the last couple of months have been an incredible run to get it to almost complete. So whilst there is no perfect way of saying how quickly a product rolls out because they're different for every product, the things we've got in front of us have customers engaged. There's a lot of value engaged. There's a lot of cost-out opportunities here. There's a lot of value to create for the logistics customers and ultimately, the consumer. And we think that it's going to be very attractive and so will drive the rollout of those products more quickly than we would otherwise have seen. But we're trying to get this into a model that there's no way of fully predicting every part of this. It's going to happen. It's going to happen quickly, but how quickly it still becomes a matter for judgment.
Andrew Gillies: And just a really quick sort of follow-up on that. If you kind of think about these new customers or you mentioned effectively the groups that move the logistics, so ocean carriers, there's rail carriers, terminals. Are there any sort of key areas there in building a multisider marketplace where you feel like you can't leverage your existing competitive advantage?
Richard John White: No, I think ultimately, this industry is a very cost-focused business and industry. And all of those players, all of them have their own self-interest, which is very predictable. And as long as you provide something of value to each of those players, which we do believe we are doing here, then there is an opportunity to expand our market to engage those players and to create a lot of value for them. You've even seen in the slide deck and our commentary that we are now selling to government as well. We have crossed the barrier, and we're now providing systems to the government, which is the other side of the process. There's a lot of opportunity here, and it's growing quite strongly.
Operator: The next question comes from Max Andrews from Unified Capital Partners.
Max Andrews: Just on the new kind of AI agentic model, what are the sort of cost savings you're expecting to generate for your freight forwarding customers? And I guess in the guidance as well, is the -- are you including the new commercial model in this for FY '26 in terms of your guidance?
Zubin Appoo: So yes, we are saying that in order for customers to access those AI workflow benefits and AI management benefits, that is they must be on the new commercial model. So to access those benefits that give them cost efficiencies then allow them to be more efficient businesses, they must be on that model, and that is part of the rollout of the new commercial model in first half '26, but then obviously ramping up in second half. Look, I do want to thank you all for your time today. That was the last question that we have time for. Thank you for the significant interest and questions. I'll just end on restating that we have talked today and shown a number of innovations in the pipeline. We've talked about Container Transport Optimization, the deep new opportunity with AI, both at the workflow and management level, the new commercial model and then very briefly touched on other potential innovations, other innovations that are pretty revolutionary for the industry, things like the government contract with New Zealand, things like data monetization. So the future is very bright, and we look forward to talking to you all at the Investor Day at the end of the year.